Operator: Welcome to the Third Quarter 2016 Bunge Earnings Conference Call. My name is Vanessa, and I'll be your operator for today's call. At this time, all participants are in a listen-only mode. And later, we will conduct a question-and-answer session. Please note that this conference is being recorded. And I will now turn the call over to Mr. Mark Haden, Vice President, Investor Relations.
Mark Haden - Bunge Ltd.: Thank you, Vanessa, and thank you, everyone, for joining us this morning. Before we get started, I want to inform you that we have prepared a slide presentation to accompany our discussion. It can be found in the Investors section of our website at bunge.com under Investor Presentations. Reconciliations of non-GAAP measures disclosed verbally on this conference call to the most directly comparable GAAP financial measure are posted on our website in the Investors section. I'd like to direct you to slide two, and remind you that today's presentation includes forward-looking statements that reflect Bunge's current views with respect to future events, financial performance and industry conditions. These forward-looking statements are subject to various risks and uncertainties. Bunge has provided additional information in its reports on file with the SEC concerning factors that could cause actual results to differ materially from those contained in this presentation, and encourage you to review these factors. Participating on the call this morning are Soren Schroder, Chief Executive Officer; and Drew Burke, Chief Financial Officer. I'll now turn the call over to Soren.
Soren W. Schroder - Bunge Ltd.: Thank you, Mark, and good morning, everyone and thank you for joining us. Expected improvement in Food, Sugar and Fertilizer came through loud and clear in the third quarter. A combination of costs and footprint improvements, and a stabilizing economic environment in Brazil drove higher earnings in Food & Ingredients, and our Sugar Milling operations is benefiting from better pricing and lower cost. However, these better performances could only partially offset earnings reductions in Agribusiness, where we felt the impact of historically low levels of farmer pricing in Brazil, and weaker than expected soy crush. Significantly increased wheat feeding following the second quarter spike in soy meal prices, contributed to a weak crushing environment overall. While it's been a challenging period in Agribusiness, our balanced footprint has helped mitigate some of the volatility. We have held returns of our cost of capital, and demonstrated that our business portfolio can withstand temporary market pressures. Improving what we can control, and executing on our strategy is paying dividends, and positions us well for generating upside earnings moving forward. With over $90 million in cost savings and efficiencies achieved year-to-date, we are on pace to exceed our 2016 target of $125 million. Acquisitions, including new soy crush plants in Northern Europe, the Grupo Minsa corn milling business in Mexico and Walter Rau Neusser in Germany, are strengthening our core Agribusiness operations, improving our capabilities, and extending our global value chains to the doorstep of our global feed ingredient customers. A solid fourth quarter is in sight, and we expect significant growth in 2017. Our Foods and Sugar businesses should show year-over-year improvement, and Agribusiness should return to normalized conditions as South American farmers who were largely undersold price their crop with the arrival of record harvests. And soy meal inclusion rates and feed should return to normal levels pulling on capacity. We look forward to providing a deeper dive into the growth drivers and positive near-term and long-term prospects at our upcoming Investor Day in December. I'll now turn it over to Drew for more details in our third quarter financials, and the outlook for the balance of the year.
Andrew J. Burke - Bunge Ltd.: Thanks, Soren. Let's turn to slide four in the earnings highlights. Earnings per share from continuing operations for the third quarter were $0.79 versus $1.42 in the prior year. As expected, Q3 results were negatively impacted by difficult Agribusiness environment. Our Food & Ingredients and Sugar & Bioenergy businesses had strong quarters, outperforming prior year, as we benefited from the actions taken under our performance improvement program and market conditions turned more favorable. Our total segment EBIT in the quarter was $213 million versus $414 million in the prior year. On an adjusted basis, EBIT was $199 million versus $367 million in 2015. 2016 is adjusted for a favorable ruling in a Brazilian court case related to prior year's wheat import taxes. 2015 is adjusted for the gain on the sale of assets in Canada. Agribusiness third quarter adjusted EBIT declined from $322 million in 2015 to $83 million in 2016. The majority of the decline was in the Grains business where 2016 adjusted EBIT was $4 million versus $216 million in 2015. This decline was primarily attributed to low farmer selling in South America due to a combination of the impact of adverse weather condition on the current year crop and the willingness of the Brazilian farmer to sell their 2017 crops. Normally, the Brazilian farmer sells a portion of their new crop in the third quarter, prior to planning, to lock in a portion of their margins, but that did not happen this year due to declining crop prices on a local currency basis. They will eventually come to market with their 2017 crops, but the timing is uncertain. Contributions from risk management in Grains were lower in the quarter, as the prior-year benefited from the recovery of approximately $50 million in losses on open positions from the prior quarter. In Oilseeds, adjusted EBIT was $79 million versus $106 million in the prior year. South American results were impacted by the low farmer selling in U.S. and European results were below a strong prior year quarter. Margins, globally, were impacted by softer than anticipated meal demand as low quality, low price wheat replaced corn and soy meal and feed formulations. Underlying protein demand remain strong, and we expect soy meal inclusion rates to return to more normal levels as the U.S. harvest starts coming to market. Mark-to-market movements did not have a significant impact on results in the quarter. In Food & Ingredients, 2016 adjusted third quarter EBIT was $72 million versus $45 million in the prior year, as both Edible Oils and Milling Products, posted increased profits. The strong increase was the result of the impact of our performance improvement programs on margins and costs, and an improving environment in Brazil. Edible Oils third quarter EBIT was $34 million versus $13 million in the prior year. The improvement was primarily driven by our Brazilian and European businesses. In Brazil, both volumes and margins improved as we gained market share, reduced costs and benefited from the closed integration of our agribusiness and foods businesses. European results increased due to a more favorable product mix and lower costs. Milling Products adjusted EBIT was $38 million versus $32 million in the prior year, primarily due to increased results in our Brazilian business. Volumes and margins were both higher, benefiting from market share gains, raw material sourcing strategies, improved product mix, and increased efficiencies. Both margins and volumes are back to levels achieved in 2014, before the country's economic crisis. The integration of the recently acquired Pacífico mill has gone well, and our new mill in Rio de Janeiro has recently started productions. Results in Mexico declined, reflecting increased competitive pressures and the devaluation of the peso. Sugar and Bioenergy quarterly EBIT was $35 million versus $3 million in the prior-year, led by strong performance in our industrial business, which benefited from higher sugar and ethanol prices. Our cost saving and agriculture improvement programs continue to make progress and support results. Trading and distribution results were also improved in the quarter. The higher results in our Fertilizer business reflect higher purchases by Argentine farmers to support increased planting of wheat and corn, brought up on by the change in government policy to eliminate export tariffs. At September 30, our year-to-date tax rate, including $39 million of favorable tax notables is 19%, and excluding the notable tax items, our year-to-date tax rate is 26%. Let's turn to slide 5, and our return on invested capital. Our trailing four-quarter average return on invested capital adjusted for certain gains and charges is 7% and at our cost of capital. Our core Agribusiness and Foods return on invested capital, which excludes our Sugar business, is 8.2%, 1.2% above our cost of capital. Our goal for our core Agribusiness and Foods return on invested capital is to earn two points over cost of capital. The decline from prior year primarily reflects lower EBIT in our Agribusiness segment, which is performing below historical levels due to the difficult market environment. Let's turn to slide 6, and our cash flow highlights. Our cash provided by operating activities was $635 million for the nine months ended September 30, 2016 versus $527 million in 2015. A key component of the increase was a reduction of secured advances to farmers, reflecting the slower pace of farmer selling in Brazil. The increase in inventories primarily reflects the significant increase in sugar prices. Our liquidity position remained strong, as we had $4.6 billion of credit available under committed lines. Let's turn to slide 7 and our capital allocation process. Our first priority is to maintain an investment grade credit rating with the target of BBB. We are currently rated as BBB with all three agencies. After that, we allocate funds amongst returning capital to shareholders, mergers and acquisitions, and capital expenditures in a manner that provides the most long-term value to shareholders. This year we have prioritized mergers and acquisitions as we have had opportunities to advance our strategic initiatives in a value accretive manner. In early October, we closed on the acquisition of Walter Rau Neusser, which will advance our business-to-business capabilities in our Edible Oils business, and as Soren mentioned in his remarks, we recently announced the acquisitions of Grupo Minsa, and two, Northern European soy crush plants. These transactions should close in the first half of 2017. Year-to-date, we have returned $391 million to shareholders through dividends and share repurchases. Capital expenditures year-to-date are $488 million. Main projects have been the completion of the Rio wheat mill, and the Ukrainian port with a co-located crushing plant, and the upgrade of our New Orleans port facility. That also includes cost for sugar planting, which is counted as capital expenditure. Let's turn to slide 8 and the outlook. In Agribusiness, fourth quarter results will be driven by our North American and European businesses. Our Northern Hemisphere facilities should run at capacity with good margins, and U.S. port elevations are benefiting from the record large crops. China is also seeing improved margins. Soybean meal demand should increase, reflecting robust underlying demand for proteins, as feed formulations normalize during the quarter. Slow farmer selling in South America is likely to persist through the end of the year, as farmers delay their selling until next year closer to harvest. In Food & Ingredients, we have increased our outlook to $230 million to $240 million for the year, as the positive volume and margin trend seen in the third quarter are expected to continue. Our Brazilian business should continue its upward trajectory, and our Eastern Europe business should benefit from the large sunseed crop. Turning to slide 9. We are also increasing our outlook for Sugar & Bioenergy to $60 million to $70 million, driven by higher than expected ethanol pricing. It will be dependent on normal weather patterns holding to allow us to reach our targeted crush volume. With respect to our full year tax rate, excluding notables, we now expect it to be slightly more favorable than our previous expectation and fall in the lower end of our 25% to 29% range. Let's turn to slide 10. We would like to give you an early preview of our outlook for 2017. We expect an improved environment and normalized results for Agribusiness in 2017. 2016 results were negatively impacted by the previous year's small sunseed crops, lower than expected meal demand due to higher than usual inclusion of wheat in feed formulations, and low forward sales of the 2017 crop by the Brazilian farmer. Looking forward to 2017, the sunseed crop is large, soybean meal demand should reflect the strong underlying demand for protein, as feed formulations normalize, and the Brazilian farmer should bring the 2017 crop to market and sell a portion of their 2018 crop. This would imply a return to historical profit levels. As the chart shows, Agribusiness EBIT ranged from $895 million to $1,054 million in the 2011 to 2015 period. As is our practice, we do not give guidance in Agribusiness. We have two crops to grow, margin can move quickly, and mark-to-market impacts can move results between periods. Our Food & Ingredients business should continue its upward momentum. Our operational and commercial actions over the last two years have resulted in a leaner, more efficient business model that continues to improve. Additionally, our focus on developing higher value added, higher margin products is producing results and should lead to margin expansion going forward. We have also had full year contributions from our new wheat mill in Rio de Janeiro, and synergies from our Pacífico mill. In Sugar and Bioenergy, the results of our improvements in the agricultural part of the business should start to come through in profits and the pricing environment should remain supportive. We have already hedged much of our 2017 Sugar sales at prices well above our 2016 level, and with the price premium of sugar versus Brazilian ethanol, mills in Brazil should prioritize sugar production, keeping supply of ethanol in balance with demand. I will now turn the call back over to the operator to take your questions.
Operator: And thank you. We will now begin the question-and-answer session. And we have our first question from Adam Samuelson with Goldman Sachs.
Adam Samuelson - Goldman Sachs & Co.: Yes. Thanks. Good morning, everyone.
Soren W. Schroder - Bunge Ltd.: Good morning, Adam.
Adam Samuelson - Goldman Sachs & Co.: Maybe first digging into the 4Q and 2017 outlook for Agribusiness. Thinking about next year, you talk about a return to kind of more normal ranges of profitability. But I am wondering given the fact that there was – you have merchandised little, if any, of the South American crop at this point, we've got robust conditions in North America, given the size of the crop, oilseed crush margins remain generally healthy, and you have some year-over-year – you should have some benefits from cost actions you've taken over the last couple of years, why wouldn't you – would it be possible to think about exceeding that range, the historical range of profitability, and other than maybe 4Q and the size of the next year's U.S. crop, some of the things that you would think that can drive upside, or limit the upside potential in the outlook?
Soren W. Schroder - Bunge Ltd.: Yeah. Thanks, Adam. There's no reason why that couldn't happen. We are trying to provide some reasonable guidance, but conditions next year look good. The biggest driver of the return to more normalized profitability in Agribusiness for us will be the return to normal pricing in Brazil, as you mentioned, but we are not assuming any outsize margins. So we're assuming the volume effect of higher pricing but not necessarily a margin expansion, and the environment has become more competitive. The other factor, a major factor that is impacting this year, but should be a positive next year, is the return to more normal pull on soy crushing capacity. We did see in the third quarter and also in the fourth quarter a detraction in meal demand because of the spike in prices earlier this year. That will return to normal in 2017. And given our size and exposure to soy crush and the additional capacity we've added, that really is the key to returning to more normalized, or maybe even exceeding the range going into next year. So I think it's too early to talk about, how much above, but the potential is clearly there. I think for us, painting the picture of earnings growth overall for Bunge next year does not require an outsized Agribusiness result it requires or it suggests a return to normal, and that on top of the growth, we see coming in both Food and in Sugar should get us a very nice bump in EPS. So we don't need an outsized Agribusiness result, although it is entirely possible that we might get it.
Adam Samuelson - Goldman Sachs & Co.: Okay.
Andrew J. Burke - Bunge Ltd.: I would just add, Adam. The two real factors to watch are obviously weather and how crops develop when we talk about a year this early. And Soren covered soy crush perfectly. And the other issue will be, we're quite confident that Brazilian farmer will sell their 2017 crop. That'll come to market, probably in the first half but at least throughout next year. How good next year can be will depend in part on what that Brazilian farmer does with his 2018 crop, does he go back to normal forward selling, or does he stay at the lower-level, we've seen this year.
Adam Samuelson - Goldman Sachs & Co.: That's helpful. And then maybe just touching on something you alluded to in your comments, talked about a more competitive environment in Brazil origination, and maybe elaborate on that. And I mean, I would think you guys would be in a better position because you've got more control of your logistics than maybe some newer entrants there. But talk about some of the competitive intensity in Brazilian origination that you've seen this year, and how you are thinking that playing field shakes out into next year?
Soren W. Schroder - Bunge Ltd.: Well, it is, first of all you are absolutely right. The footprint we have in Brazil, and the way we bring the crops to market, definitely gives us a competitive advantage from an overall supply chain cost perspective. So that advantage is maintained, and we continue to perfect the way we operate every year. So we have a starting advantage that, I think, will play out next year as well as it has this past couple of years. The increased level of competition is really more about the same phenomenon, as we've seen in the U.S., where farmers just don't like prices, and they can't make returns based on the current combination of ForEx and futures, and therefore, are more hesitant to commit to forward selling, as well as holding back what they can, in order to hope for better times. That is the negative effect of a very low priced environment. It's not as if there is a number of new entrants in Brazil, for that matter. So I think it's more a matter of behavior from the farmer, which is a consequence of current pricing. But I think as we get into 2017, we will have big crops, we will have a return to normal in terms of safrinha corn, so we will have that continued pull on capacity, as we get into the summer, our summer of next year. And given our footprint that should give us a very good base for earnings growth in the – or continued, let's say, contribution in grain origination and exports from Brazil, as we've seen in the last couple of years.
Adam Samuelson - Goldman Sachs & Co.: That's helpful. I think I'll squeeze one more in. There is a nice improvement in the margins in Edible Oils this quarter after what had been a pretty challenging year. So can you talk about your confidence that we've maybe found a new floor on that business, and then we – this isn't kind of a one quarter aberration, and the macro remains choppy that you think you've reset the margins appropriately, and then we can build from here?
Soren W. Schroder - Bunge Ltd.: I think we've done a lot of work internally over the last 12 months to 18 months to put ourselves in a better position, particularly in Brazil, but also in Europe, which is really where all the improvement is coming from. Our North American businesses are solid in – sorry, Canada and the U.S., solid performing businesses and they will continue. So the improvement is really in Brazil and in the Europe, and a lot of that is driven by the way we operate. It's not as if the environment facing the consumer in Brazil has gotten suddenly better. I think that is still to come. I think we felt a bottoming out effect, and I think the anticipation of the market is probably – is ahead of the reality in terms of consumer behavior. So the benefit you see in the quarter is really not because of changed consumer behavior, it's really a reflection of the improvements that we have made. And in Brazil, it's been around reducing cost, supply chain cost, closing, consolidating distribution centers. It is a much tighter integration with our Agribusiness footprint. It's a big change from how we've operated in the past, and the regain of market share. We're about 30% of the retail bottled oil market in Brazil, which is where we should be, but we've come from below 20%s over the last 12 months. So it is improving efficiency across the chain in Brazil. And in Europe, we now have two good crops in the bin, so to speak, a very, very large sunseed crop is coming in, in Eastern Europe, an all-time record, which is helping that whole supply chain and the retail bottled oil, we have coming out of that, expand margins. And with the acquisition of Walter Rau, although it's early to tell, exactly, what the impact will be quarter-on-quarter following, there is no doubt that that is opening up doors for us in the B2B segment that will be meaningful going forward. So I don't think this is a quarterly blip. I think it's a result of hard work over the last several quarters, and I would expect it to continue.
Adam Samuelson - Goldman Sachs & Co.: Great. Appreciate the color. I'll pass it on.
Operator: And thank you. Our next question comes from Sandy Klugman with Vertical Research Partners.
Sandy H. Klugman - Vertical Research Partners LLC: Good morning. Thank you. Just wanted to follow up on your commentary on Food & Ingredients. What I was looking to gauge was whether or not you could provide an update on where the build out of your business-to-business capabilities in both Brazil and in Eastern Europe currently stand?
Soren W. Schroder - Bunge Ltd.: Well, in Europe, it is – the acquisition of Walter Rau, in many ways, is the catalyst that will get us more focused on B2B, and our business traditionally has been very B2C focused. And I think we're making very, very quick early progress, whether that is through key account actions that have come with the acquisitions, turning an increased amount of our sunseed crushing capacity from generic sun crush into high oleic sun, for example, that serves the foodservice business, and a number of blends that go into the bakery business that we can now apply across a larger geographic area in Europe. So I think we are making vey quick progress, and the acquisition of Walter Rau was one of the good business for sure, but it was as much about acquiring capabilities in that particular area that we are now rolling out through the rest of Bunge. In Brazil, our business is still predominantly B2C business, but it is changing along with the evolution of the Brazilian economy. There will be more and more B2B coming, most of it initially will be in the area of shortenings, bakery fats where we already have a starting advantage and that we are the supplier of flour to many of the big bakeries. So I think we are early stages in Brazil and the Europe in building out the type of structure and system that we had benefited from in North America over the last couple of years. So it is still – it's still to come a lot of it, but we have very clear plans of how we get there, and the acquisition of Walter Rau, plus the way we're now focusing in Brazil, will get us there over the next 6 months to 12 months.
Sandy H. Klugman - Vertical Research Partners LLC: Okay. Great. Thank you. And then you mentioned improved margins in China, so can you discuss how you see the outlook for crush margins evolving going forward? Utilization rates have obviously been pretty weak, but there are some expectations that the market could tighten if the government takes an active role in consolidating the industry.
Soren W. Schroder - Bunge Ltd.: Yeah. China is one of the, I'd say, bright spots in soy crush this year, versus I'd say the rest of the world has suffered a bit in terms of overall margins, and that's reflected in partly in our Q3 results. But China, is a bright spot, has come from margins that barely covered variable costs, we're now covering full cost plus a little bit. And that has come as a consequence of more disciplined, let's say, imports of soybeans that reduced meal stocks in China, and which has now allowed for meal premiums to grow to the point where we're now earning a reasonable margin, $25 give and take. Consolidation in China is probably still to come, but you're right, the government and others, I think, see the need for that. There is excess capacity, and a lot of inefficient capacity that has run over the last few years, for reasons that were not necessarily related to the economics of crush. We've talked about financial players being in the mix for a number of years. That is mostly behind us, I think. So it's back to sort of the basic calculation of what makes the crush margin. And as you probably know, China does have a duty differential in soy crush favoring domestic crush, and you would think that over the next year or two that will play through. So that China should become – will become a region in the world with some of the best margins in the world, having come from the opposite just six months ago. One underlying demand in China is strong, we know that. Soybean meal demand continues to grow at 5%, 6% per year, oil demand is also strong. So the outlook, although we are cautious given the volatility we've seen in China over the last few years is decidedly a better one, and we'll be entering 2017 in a much better position than I think we did this year.
Sandy H. Klugman - Vertical Research Partners LLC: Thank you very much.
Operator: And thank you. Our next question comes from Ann Duignan with JPMorgan.
Ann P. Duignan - JPMorgan Securities LLC: Hi. Good morning.
Soren W. Schroder - Bunge Ltd.: Hi, Ann.
Andrew J. Burke - Bunge Ltd.: Good morning, Ann.
Ann P. Duignan - JPMorgan Securities LLC: On the Agribusiness and the outlook for 2017, if we look at where ending stocks to use are for wheat and the DDG problems in China, why wouldn't we expect margins for crush, for meal continue to be under pressure in 2017?
Soren W. Schroder - Bunge Ltd.: Well, if you look at the forward curve in pricing meal and corn versus wheat and feed, corn is back. It was really the aberration that we saw back in the second quarter where soybeans meal and corn, which followed, got completely out of whack compared to wheat, and that created this surge in wheat feeding, particularly in Europe, which was also compounded by the poor crop in France and other places where there was an unusual amount of feed wheat available. So I think it was an unusual period. The wheat market is in a steep carry and the market will pay for wheat to be carried, and that means that as you go out six months from now, wheat prices are significantly more expensive than they are in the start, and I think that will continue to – that will most likely mean that people have a hard time finding its way back into feed. And on the DDG situation, it's very fluid with China. It's on and off as it has been for the last several years. DDG seem to be finding their ways into feed formulations outside of China, but also outside of the U.S. So we don't expect a major impact in the domestic soybean meal demand going into next year. And in general, we just expect that soy meal inclusion will return to the levels we saw earlier this year. So we are not looking for anything, let's say, unusual in terms of soy meal inclusion, just to return to normal. And wheat will be carried, and the market will pay for that.
Ann P. Duignan - JPMorgan Securities LLC: On the European as well, so thank you.
Soren W. Schroder - Bunge Ltd.: I'm sorry?
Ann P. Duignan - JPMorgan Securities LLC: The European government will show intervention.
Soren W. Schroder - Bunge Ltd.: Yes. It could be.
Ann P. Duignan - JPMorgan Securities LLC: Yeah. Secondly, a more strategic question. Perdue recently announced that it was going to source some of its inputs directly from Brazilian farmers. Can you talk about whether you are seeing more of this, or talk of more of this, we hear about that from the Chinese now and again also. Is there any risk to Bunge's footprint in Brazil from companies or customers going direct to farmers?
Soren W. Schroder - Bunge Ltd.: I think, one thing is to source directly in a country, another thing is to go direct to the farmer. That is another step of complexity, where you have to be able to manage credit risk and logistics and many other things. I don't know exactly how far Perdue is intending on moving their value chain upstream. I think the competitive advantage that we have in Brazil in terms of logistics, knowledge and relationship with farmers, that span decades, is going to be hard to marginalize, let's put it that way. And I don't know exactly what the reference was with Perdue importing directly. I presume they're referring to the occasional imports of meal or corn to the East Coast, but I don't know more about it than that frankly. But I do think that the position we have in Brazil is one that's very strong and we will continue to show that.
Ann P. Duignan - JPMorgan Securities LLC: What would you say, Soren, as the one key barrier to entry from somebody going direct? Is it your ability to take on credit risk, or is it the physical logistics? I'm just curious what the barriers are that they would have to overcome?
Soren W. Schroder - Bunge Ltd.: I think it's a long list of things, but it is clearly the local knowledge, how to deal with customers, how to evaluate credit risk, how to build relationships and trust in a foreign place, which is not easy. It is all the local regulations and the financial. The financial system in Brazil is nothing but complicated. So, a lot of things you have to be able to do starting out, let alone access to efficient logistics and scale. What we do really only works in large volumes. It's very hard to imagine, you can compete effectively with a small footprint, but everybody has their own view on that.
Ann P. Duignan - JPMorgan Securities LLC: Okay. Thank you. I appreciate the color. I will get back in queue.
Soren W. Schroder - Bunge Ltd.: Yeah. Okay.
Operator: And thank you. Our next question comes from David Driscoll with Citi.
David Cristopher Driscoll - Citigroup Global Markets, Inc. (Broker): Great. Thank you, and good morning.
Andrew J. Burke - Bunge Ltd.: Good morning, David.
Soren W. Schroder - Bunge Ltd.: Hi, David.
David Cristopher Driscoll - Citigroup Global Markets, Inc. (Broker): Can you guys quantify the impact of the lack of farmers selling in the third quarter?
Soren W. Schroder - Bunge Ltd.: Yeah, we can. For us, in Brazil, it amounted to about $100 million.
David Cristopher Driscoll - Citigroup Global Markets, Inc. (Broker): Okay. Because that was going to lead into my next question. I mean, your competitor yesterday reported kind of better than expected numbers. There was a good offset on the geographic balances, bad South America, really good North America. And your number here is one of the lowest numbers that you produced in Agribusiness in years. So would it be fair to say that your North American operations, if we could see the detail, the North American operations really performed extremely well, and Brazil is just that challenged, is that fair?
Soren W. Schroder - Bunge Ltd.: I think it is, not exactly. I mean, the number I gave you in Brazil is what it is, so it's a significant part of the gap to last year's earnings. Don't forget another piece of the gap to last year's earnings was the $50 million worth of risk reversal income from the second quarter of 2015. In the U.S., I think it's fair to say that our footprint is unique. In some years, it gives us outsized earnings early in the harvest, for example 2014 was one of those years, but it is a very concentrated footprint in the delta, in the Southern part of the Mississippi River System. And in that part of the world, early in the harvest this year, competition was intense, and the size of the crop relative to the overall size of the crop in the U.S. didn't see the same growth. So we did not experience the early, let's say, margin improvement that maybe others did, but we are seeing now through our export facility in New Orleans and also on the West Coast with ETT. (35:00) We are seeing the effect of the significantly expanded export elevations and export margins, and they will come through in the fourth quarter, but the uniqueness of our footprint in the third quarter in the U.S. just didn't give us the same boost in earnings that maybe others experienced. But we will see a very good fourth quarter coming now.
David Cristopher Driscoll - Citigroup Global Markets, Inc. (Broker): Thanks for that color. On 2017, I'd like to follow up on a question that was asked earlier. Can you just compare the conditions that you see today in Agribusiness versus the previous peak number, which I believe was 2015? Can you just compare and contrast kind of what we have as a set of conditions right now, as we move into 2017 Agribusiness?
Soren W. Schroder - Bunge Ltd.: Yeah. I think it is going to be an environment, which is one where with low prices, very strong downstream profitability, whether it's in food, in feed, meat production. We should see a very nice growth in underlying both protein demand and global trade. So that is similar and that is what we look forward to. Most of our improvement in earnings going into 2017 will come from increased capacity utilization, particularly in crush. And to put some flavor on that, you're talking probably about a delta of $100 million to $150 million of improvement in soy crush, in particular, as we move into 2017, as feed formulation normalizes. So that's one thing. 2015 was also a year where we saw more normalized farmer pricing in Brazil. The same quarter last year saw one of the better quarters in terms of farmer pricing their new crop in Brazil, a combination of futures, and a relatively weak currency. We expect will get back to not quite the same, but something like that next year, and of course the volumes that aren't being priced now, we will price when we get there. So I think it is really the two big, let's say, the two big factors that will get us back to that type of earnings in Agribusiness is a return to normal inclusion rates in meal, and therefore pull and cross (37:12) capacity it gets us back to utilization rates as we had them in 2015. And the second one is, simply a return to normal in terms of pricing patterns, and we think we'll see that. At the end, same quarter next year, we'll be talking about how much of the 2018 crop is going to be priced, and we are not assuming anything outsized in that regard, but as you've seen from the past, that can have a major positive effect on results in any given quarter.
David Cristopher Driscoll - Citigroup Global Markets, Inc. (Broker): Can you just make one fast comment on Argentina, because you mentioned Brazil nicely and the U.S. nicely, but Argentina was unbelievably volatile this year. I mean 4Q, 1Q expectations went to the moon, then everything fell apart on us. So just like to hear what's happening in Argentina, your view on 2017 crush margins, business climate. Thank you.
Soren W. Schroder - Bunge Ltd.: Yeah, you are right. I think the best way to describe Argentina this year was a very bumpy road, returned to some kind of normal from several years of difficult conditions. I think if you move into 2017, there are number of things that look a bit better, starting with the wheat crop, which we will be harvesting in a month or two time. The big increase in wheat production in Argentina will certainly help origination and export of wheat, and in the case of Bunge that is a complete tie-in to our wheat milling operations in Brazil and in fact, the Pacífico wheat mill was acquired for one of those reasons. It's the most efficient port based mill in Brazil. So wheat looks good. We know we'll get a big bump in corn production in Argentina, which means that Bunge will in all likelihood get back to our traditional market shares after several years of being, let's say, squeezed out because of the export quotas. So corn looks like a good story for us next year. And in crush, as we return to more normalized, let's say, feed – meal inclusions in feed, we will need Argentine crush capacity, more or less at capacity for most of the year. So we expect a nice pull on Argentine crush capacity going into next year as well, starting with the very beginning of the new crop. So, overall, I think this is the year where the system is settling after several years of difficulty. Next year, weather and crops permitting should be a good year to operate in Argentina.
David Cristopher Driscoll - Citigroup Global Markets, Inc. (Broker): Thank you.
Soren W. Schroder - Bunge Ltd.: Okay.
Operator: And thank you. Thank you. Our next question comes from Farha Aslam with Stephens.
Farha Aslam - Stephens, Inc.: Hi, good morning.
Soren W. Schroder - Bunge Ltd.: Good morning.
Andrew J. Burke - Bunge Ltd.: Good morning, Farha.
Farha Aslam - Stephens, Inc.: Could you comment a bit on Sugar. I think you've mentioned that next year you've hedged at better levels. Any color on how much improvement we can expect.
Soren W. Schroder - Bunge Ltd.: We don't disclose the exact details of how we've hedged, but we have hedged the meaningful portion of our sugar production, which is approximately 40% of our overall exposure to cane. So, a nice chunk has been locked in at levels well above this year's, combination of currency and futures. And as it looks right now, we would expect an improvement in EBIT based on that of somewhere around $50 million.
Farha Aslam - Stephens, Inc.: $50 million above this year's level.
Soren W. Schroder - Bunge Ltd.: Correct.
Farha Aslam - Stephens, Inc.: Okay. That's helpful. And then, are you still looking to sell the Sugar business? Could you give us your thoughts on Sugar?
Soren W. Schroder - Bunge Ltd.: Yeah. I mean, our intent to reduce exposure, or generate liquidity for Bunge and the shareholders through an action in Sugar is unchanged, that hasn't changed. The environment has obviously not been conducive to that over the last couple of years, but that's changing now. And we do look forward to another few years of positive in the sugar cycle. And so we're active. We are discussing various options of how we do reach that ultimate goal of creating liquidity and taking some cash out, at what we would expect to be favorable prices. But I can't really give you much more flavor than that at this stage other than our intent is unchanged.
Farha Aslam - Stephens, Inc.: That's helpful. And since you've been CEO, you haven't done any big major transaction. But you've done a number of these sort of sub $500 million transactions, that's been a significant commitment of shareholder capital. Would you happen to have sort of a composite what earnings you expect from actions such as Walter Rau, Grupo Minsa, the two facilities in Europe, Pacífico, the Canadian JV, the Vietnam JV, is there sort of a number we can think of wrap? (42:22)
Soren W. Schroder - Bunge Ltd.: I think it might be better to think of it in pieces than try to give you an overall number, because a lot goes into those calculation. As Pacífico hits full run rates and moves forward, we would see them contributing about $30 million a year in EBIT. Again, they're already contributing significantly this year. So they're in place at the moment. The more recent acquisitions we announced that if you look at the Northern European crush plant, and that's probably in the $20 million range when they come into their first year, full year of operation. And if we look at Minsa, that's probably where they are in their first full year of operation too. Walter Rau was a smaller acquisition, as you know that the expenditure there was around the $50 million range. So the benefit of Walter Rau isn't in the profits in Walter Rau, which are there, but at a smaller level. It's really and what's it's going to let us take the capabilities to globally. And Altex, I would say is in the same range as the others we've talked about, which was the – one we did in Mexico a couple of years ago. Right.
Farha Aslam - Stephens, Inc.: And when would you expect them to hit their run rate?
Soren W. Schroder - Bunge Ltd.: Well, some of them already are, so let's be clear. The Altex acquisition in Mexico, which we concluded a year and a half ago, is fully integrated, working well. Pacífico, which we bought exactly a year ago, has now fully been integrated, and you're seeing the impact run rate already now. It's about a $10 million contribution to this year's milling number, and next year's another step up. And the ones that Drew referred to, so the crush in Europe, Minsa and Walter Rau, well first of all those two haven't closed yet. They are closing first quarter of next year in all likelihood. And we'll run into sometime next year whether that is in Q2 or Q3. We'll start getting the run rates annualized as Drew mentioned. So, there is a fairly significant amount of incremental EBIT coming once these things close and get fully integrated. They are not considered in what we just said about the outlook for 2017, they would be on top of.
Andrew J. Burke - Bunge Ltd.: Pacífico is in 2017 and the others are not.
Soren W. Schroder - Bunge Ltd.: Yeah, Pacífico is but the crush in Europe and the Minsa is not. So that's all to come. But, let me just step back a bit. The reason why we have been so focused on bolt-ons rather than something bigger than that is simply to remain disciplined. We have a very strong process for evaluating projects. We've talked about our return expectations being somewhere around 1.5 times our cost of capital, as it relates to internal rate of return for, as a threshold, plus the synergies that we would expect to get from having these acquisition plug in to our existing value chains. So none of these acquisitions are standalone. They are all acquisitions that will somehow or another complement other parts of Bunge, whether it is Agribusiness in the case of European crush, whether it's grain origination in the case of wheat milling acquisitions, or Minsa for that matter. So they are acquisitions that will make the whole system better over time, as they get integrated. And given our priority of making sure that our balance sheet stays in a BBB condition, this is, let's say, a safer way of getting to earnings growth than something bigger and more experimental. But over time of course that can change. For now, it's really about getting these very nice bolt-ons that have strong synergies with the rest of Bunge integrated, and that will happen throughout 2017.
Farha Aslam - Stephens, Inc.: Great. Thanks for the added color.
Operator: And, thank you. Our next question comes from Evan Morris with Bank of America.
Evan Morris - Bank of America Merrill Lynch: Hey, good morning, everyone.
Soren W. Schroder - Bunge Ltd.: Good morning.
Andrew J. Burke - Bunge Ltd.: Hey, Evan.
Evan Morris - Bank of America Merrill Lynch: Hey. So I just wanted to just circle back on the farmer selling in South America. I guess, I've heard, I guess, anecdotally, that maybe the farmers down there aren't in as bad of shape as maybe the environment would suggest. I guess, I wanted just love to hear your assessment of the shape that farmers are in. And within the context of your confidence that that you think they're going to sell, obviously, you pointed out to David's question about $100 million impact from the lack of farmer selling. So are there certain triggers in terms of crop prices, FX that these farmers are going to look to sell at? I guess really trying to figure out how important that farmer selling returning is to your outlook of getting back to sort of that middle to the upper end, or possibly exceeding the upper end of your Agribusiness range.
Soren W. Schroder - Bunge Ltd.: Right. Well, I think in the case of farmer selling as it relates to this year, it's really a matter of timing. It's a deferral. It's not that it won't happen. So the combination of futures and ForEx and the price objectives in local currency that the farmer has that is what drives his decision to commit earlier or to commit late. And with the strength in the real and the weakness in overall futures, there has been no reason for him or her to commit beyond the spot. Now that can change quickly. Brazil is a volatile place, and the change in the exchange rate coupled with a short-term spike in futures can quickly accelerate pricing. We've seen that before. But for us it's really about deferring pricing. So the Brazilian farmer today, probably have sold about 20% of his new crop beans that is in contrast to 35% or 40% historically. It is a larger crop, weather permitting we will have 100 million tons or more soybeans in Brazil this coming year. So a nice step up from even this year. And that difference in what's been priced will come to market either right before harvest or likely during the harvest, and we will then recognize margins as that happens. And then the same time next year, we will be discussing how much of the 2018 crop will be priced in advance. And there's – at that point, there are two crops we have to go through to determine what prices are, and I wouldn't dare to speculate on that. So, at this point, it's really more about timing effects than anything else. But it is true that with the current weak commodity environment, neither farmers frankly nor end consumers have much incentive to do anything beyond the near-term. And that is likely to persist so long as prices remain where they are. And we'll see how it plays out in the second half of next year.
Evan Morris - Bank of America Merrill Lynch: And if that persists again, does that sort of really change your outlook for Agribusiness next year or again is that...
Soren W. Schroder - Bunge Ltd.: No.
Evan Morris - Bank of America Merrill Lynch: No.
Soren W. Schroder - Bunge Ltd.: We are not assuming anything, let's say, out of the ordinary in terms of how much of the following years crop we would price next year. We're assuming normal levels.
Evan Morris - Bank of America Merrill Lynch: Okay. Okay. And then just, Drew, just a question on 4Q Agribusiness. You mentioned that it was going to be improved significantly sequentially, which makes sense. But can you sort of frame it within sort of a year-over-year, how much could it be up versus last year, should it not, flat, just if you can sort of frame that?
Andrew J. Burke - Bunge Ltd.: Yeah. Let me just start with a caution that to the extent we elect to hedge our crush margins forward, there's room for mark-to-market volatility that could shift any forecast we make. At this point, we would expect the Agribusiness number to be somewhat below last year's Agribusiness number. So we think the environment is better but it won't quite get to where it is last year. The other thing, not to keep barking on it that we flag if farmers selling habits in South America change that can move numbers.
Evan Morris - Bank of America Merrill Lynch: Okay, okay. And then just last question broader for you, Soren. Just you're definitely talking with a fair amount of confidence into next year, which understandably given the environment. If you kind of just look at how this year has played out, it's been pretty volatile, it's been almost a three different, four different years in one. So I guess just getting a sense as to how much visibility do you have into next year? I guess, as you look at Food & Ingredients, and you look at some of your other businesses versus Agribusiness just, and really I guess, trying to understand like, if you are wrong anywhere, where do you think you could be wrong?
Soren W. Schroder - Bunge Ltd.: Yeah. I mean, you are right. We started out this year saying exactly what you just said that we felt strong about Food & Ingredients, and Sugar and Fertilizer, how this year would play out. It's turning out as a little bit better than we expected back earlier in the year, but we knew that Agribusiness would be a volatile period, and it turned out to be exactly that. I think if we look into next year, I would say, we feel very good about where the smaller segments, and how they will grow, so Food, Sugar and Fertilizer in total should be about $400 million contribution next year, and a nice growth based on where we end up this year. In Agribusiness, there really are two things that gets us back to normal. One is an increase in crush margins, and we did see a setback in the second half of this year from the effect of increased wheat feeding coming out of the second quarter, and returning to normal, I mean, an improvement of $3 to $5 a ton across our soy crush, origin soy crush fleet. That is not an unreasonable expectation, and should get us a nice delta in earnings of $100 million to $150 million. And then it is the return to more normalized pricing patterns. In other words, catching up first in Brazil with the amount of grain that has not been priced so far, that will happen as a natural course of harvest and time, and then of course, what happens in Q3 next year. But we're not assuming anything out of the ordinary to get to a normalized pricing environment in Agribusiness next year. But those are probably the two – I mean, crop conditions and weather and so forth, which we can't predict. But the two variables and the two factors, or areas in Agribusiness that gets us back to normal is an improvement in crush margins and return to a more normal pricing in South America. And I would say, at this point, there is no reason to expect that that won't happen. I feel good about that. I feel very strongly about the soy crush. We're committed to that. We have a very strong view on how utilization rates in crush will evolve over the next two years to three years. We're very positive and bullish on that, and we'll see some of that play through next year. And with the farmer and at least this portion of the crop, that has not been priced this year, we will get that next year and then it's a matter of what we think about 2018 by the time we get to the third quarter of next year. But I feel very good about the prospects of Agribusiness returning to a more normalized within the range that Drew described type of performance.
Evan Morris - Bank of America Merrill Lynch: Okay. Perfect. Thank you. I'll pass it along.
Operator: And thank you. Our next question comes from Brett Wong with Piper Jaffray.
Brett W. S. Wong - Piper Jaffray & Co.: Hey. Thanks for taking my question, guys. I know I am at the end of the call here, and you talked a lot about this, Soren, specifically the last question. But again, on the farmer selling, you touched on 2017 selling increasing because it's light now, and you're going to have a bigger crop, but with the bigger crop, you should see pressure on pricing, and if the macro is improving, you should see a stronger Brazilian reais against the dollar. So is there any risk that that impacts not as much 2017 crop selling, as you currently expect, and then also those same factors, doesn't that impact 2018 selling where you're kind of considering a normal selling season right now?
Soren W. Schroder - Bunge Ltd.: I think the impact would be under the scenario that you're painting, so low dollar prices and a stronger reais would come again in the amount of the 2018 crop, we would expect to price in the third quarter, but as I mentioned we're not assuming a lot. So I think the delta on that is fairly small. The big thing is the commercialization of the crop that's currently being planted, and I think that will happen as a matter of harvest, and the time moving by in the first quarter and second quarter in 2017.
Brett W. S. Wong - Piper Jaffray & Co.: Okay. And you spoke about improved crush in Argentina, is there any risk to that with soft selling there, as it seems we don't really get an improvement in soybean export taxes until 2018 for those kind of key central farmers. So if that's true, and they continue to hold does that impact your expectation for crush?
Soren W. Schroder - Bunge Ltd.: Well, I think what could happen, I don't think there will be any unusual activity, so to speak, in terms of farmers selling the first half of the next year. The Argentine farmer will carry out a fair amount of soybeans against this year, as he did last year, but with the last crop coming, we will have normal commercialization of the Argentine bean crop through the first half of next year, and then depending on the expectation of the adjustment to the export tax, that's announced in 2018, the Argentine farmer might hold back some of his crop towards the end of next year. That would in all likelihood, if that happens in any kind of magnitude, would benefit other origins crush, such as the U.S. or Brazil, but that's I think is more of a Q4 question for next year.
Brett W. S. Wong - Piper Jaffray & Co.: Okay. And then one just last one from me. China continues to be active in buying global ag assets, I'm just wondering, if you expect that that's going to continue here in the near term as they secure food availability?
Soren W. Schroder - Bunge Ltd.: I can't really comment on that, but what I do think is happening in China is that there is a freeing up of the price support system for grains and the recognition that improvement domestically in China is the more important way to secure food in the long term. I think that's something we'll be reading more about, but in terms of expansion overseas, I don't really have, I don't have a strong view on that.
Brett W. S. Wong - Piper Jaffray & Co.: Great. Thanks so much.
Soren W. Schroder - Bunge Ltd.: Okay. Thank you.
Operator: Thank you. Our next question comes from Vincent Andrews with Morgan Stanley.
Vincent S. Andrews - Morgan Stanley & Co. LLC: Thanks. Good morning, everyone. I actually have two questions. First, I think we've established that the farmer selling thing is a time issue for when you recognize this revenue and income, and you mentioned there was $100 million out of 3Q. I guess, my question is does it matter when the farmer sells to you? In other words, are you going to get the $100 million back in 2017, or if they choose a different time or less advantageous time for you, does it turn into $75 million, just to use a number, or is it possible that it could wind up being more advantageous to you and it turns into $125 million? What difference does it make when they sell as it relates to your opportunity to monetize their crop?
Soren W. Schroder - Bunge Ltd.: That's a good question. And I would say it depends. You probably expect that answer. It depends very much under the circumstance. If it is, under circumstances in Brazil where you have extremely strong export pull and stress on logistics and so forth, chances are that that margins will reflect that i.e., they will be better, so maybe it can turn in to be more than the $100 million. Conversely, if it is a benign environment into harvest next year, it could be a little bit less. It's just hard to tell. I would say, it's probably generally true that the more you buy far in advance because of the added element of managing risk around it, margins are typically a little bit better.
Vincent S. Andrews - Morgan Stanley & Co. LLC: Okay. And then just separate question for Drew. Last year, free cash flow, I think, was barely positive. This year, I guess, with less farmers selling, presumably less working capital, your free cash flow is ahead of – or your CFO is ahead year-over-year. Should we expect good free cash flow this year but then next year because there's going to be more volume through the system, do we maybe have less free cash flow?
Andrew J. Burke - Bunge Ltd.: No. I don't think that's necessarily the case, Vincent. In concept, it could work that way. What I would say is in contrasting the environments, we are down this year from year end about $200 million, and how much we've advanced to Brazilian farmers. So if you went back to a typical year, you may have another $200 million of outflow for that. And the other big thing in the working capital, it affects our year-end balances, is how the North American farmer behaves in terms of how much he sells, and when he wants payment for his own tax purposes. So those would be the two factors that would determine it. So maybe if crop prices, everything else held the same, the farmer comes back, figure $200 million less cash flow would be reasonable.
Vincent S. Andrews - Morgan Stanley & Co. LLC: Okay. Thanks very much, guys.
Operator: And thank you. Our next question comes from Rob Moskow with Credit Suisse.
Robert Moskow - Credit Suisse Securities (USA) LLC (Broker): I think everything that's possibly to be asked has been asked, but I guess I'll ask about your CFO search. Where are you at in that? And are you looking more to the outside at sitting CFOs? Thanks.
Soren W. Schroder - Bunge Ltd.: I mean, we've been active with the search ever since early this year when Drew announced his retirement. And I think, we're getting towards the end of it. We've had very good slate of both internal and external candidates that we've reviewed. And I'd say, we're nearing the end of the decision-making process, and we'll be forthcoming with an announcement within the next short while.
Robert Moskow - Credit Suisse Securities (USA) LLC (Broker): Soren, do you think that Drew's replacement would have to have a working understanding of the grain markets or commodity markets, or does it not matter?
Soren W. Schroder - Bunge Ltd.: I think it's an advantage probably, but I think it's something you can also learn. I think it was very important it is that the person has a good understanding of how the commodity markets work in general, and is very comfortable with the complexity of financials around that, but I don't think it has to be a grain expert, so to speak.
Robert Moskow - Credit Suisse Securities (USA) LLC (Broker): Okay. Thank you very much.
Operator: And thank you. Our next question comes from Ken Zaslow with Bank of Montreal.
Kenneth Bryan Zaslow - BMO Capital Markets (United States): Hey, good morning, everyone.
Soren W. Schroder - Bunge Ltd.: Hey, Ken.
Kenneth Bryan Zaslow - BMO Capital Markets (United States): So, Soren, my question is look, over the last several years, you've gone through some bolt-on acquisitions, you've done some cost savings initiatives, next year you have a reasonably normal environment, little puts and takes, how come when I think about 2017, I can't think about a normal year, ex, say, $100 million or $150 million of profit from Food, and just kind of think back to, when you kind of put together that $8 to $8.50 number, and why you are not progressing as aggressively towards that number?
Soren W. Schroder - Bunge Ltd.: I'm sorry, I didn't understand the reference to the $150 million.
Kenneth Bryan Zaslow - BMO Capital Markets (United States): Well, I think if I remember correctly, your Food business was supposed to be about $400 million, $450 million (1:03:26) and now you're looking for about $280 million (1:03:29) or something like that for next year. So again, I'll ex that out, but why isn't everything else kind of in that range of moving towards that longer-term EPS number?
Soren W. Schroder - Bunge Ltd.: I think next year will be. We won't hit the $8.50 obviously next year, that was a reach too far back in 2014, but many of the things we talked about back then are coming through, albeit at a slower pace. We have absolutely changed how we do business in Bunge. The savings, the $92 million so far this year, the $100 million last year are all real. The $125 million we'll save totally this year will in some form or fashion hit either margins or the bottom line or help us withstand competitive pressures. We have made big improvements on our global SG&A. We're down $100 million compared to last year, industrial costs were down. So many of the, let's say, operational improvements that we have – that we talked about back in 2017, we're absolutely delivering on. And they will benefit us from the future. The one thing that turned out to be not as I had hoped, was the overall margin environment. Margins across pretty much all sectors of our business, Agribusiness as well as Food & Ingredients has gone through a period of contraction.
Kenneth Bryan Zaslow - BMO Capital Markets (United States): But I am saying about next year, like to me elevation margins seem to be in good shape, right? The crush environment in China is far better than what you would have expected.
Soren W. Schroder - Bunge Ltd.: Yeah.
Kenneth Bryan Zaslow - BMO Capital Markets (United States): U.S. is probably above average. Argentina, depending on selling, and I get to Brazil. But again, when I kind of put the composite together plus all the internal activities, I wouldn't think that you would get to a average number. I would think that you would be progressing above the average.
Soren W. Schroder - Bunge Ltd.: I agree with that. I was just trying to give the context of why we feel comfortable that despite what has been a very difficult overall margin environment, headwinds in places like Brazil, which we are not through with yet, Brazil has not recovered, that we feel comfortable about significant earnings growth going into 2017. Drew mentioned in his comments, and I did as well. And you can do the math, $400 million coming out of our smaller segments plus a normalized Agribusiness result will give you a significant bump in earnings, whether it is EBIT or whether it is EPS in 2017. And then we will grow from there. So I think we are absolutely looking at a significant uptick in earnings in 2017. And I think it is rooted in the improvements we've made ourselves, and not an environment, where there is wind in the back from all sides, but a normalized environment. So the confidence with which we talk about earnings growth next year is very high.
Kenneth Bryan Zaslow - BMO Capital Markets (United States): And my final question is, with the stock price where it is, why not activate a more aggressive share repurchase program?
Soren W. Schroder - Bunge Ltd.: We agree with you that our share price is very undervalued, no doubt about it, but we also have to keep in mind our commitment to a BBB credit rating and the ratios that that implies. And we have a couple of sizeable bolt-ons that we will be executing on, closing on in the first quarter of next year, that we want to get through first. And then we will have another look, but the crush acquisitions in the Europe and the Grupo Minsa should both close in the first quarter of next year, and we'll obviously require some cash, and then we'll have another look beyond that. But I agree with your statement about the valuation of our stock.
Kenneth Bryan Zaslow - BMO Capital Markets (United States): Great. Thank you.
Operator: And thank you. We have no further questions. I will now turn the call back over to Mr. Haden, for closing remarks.
Mark Haden - Bunge Ltd.: Great. Thank you, Vanessa, and thank you everyone for joining us today. And I want to also remind you that we will be hosting an Investor Day on December 13 in New York City. And the event will be an opportunity to meet more of our executives than you have in the past and also learn more about our company. Thank you again for joining us.
Operator: And thank you, ladies and gentlemen, this concludes today's conference. We thank you for participating and you may now disconnect.